Operator: Hello, everybody, and welcome to Kaspi.kz Second Quarter and First Half 2025 Financial Results. My name is Elliot, and I'll be your coordinator today. [Operator Instructions] I would now like to hand over to David Ferguson. Please go ahead.
David Ferguson: Great. Thank you, Elliot. Good morning, good afternoon to everyone who is joining us. Welcome to Kaspi.kz's Second Quarter and First Half 2025 financial results. I'm David Ferguson from Kaspi, joined on this call by Mikheil Lomtadze, CEO and Co-Founder of Kaspi.kz; Yuri Didenko and Tengiz Mosidze, deputy CEOs. So as usual, Mikheil will start the presentation, run you through an update on some of the key initiatives in the second quarter and first half of the year. I'll take you through the financial slides, and then we'll open the call up to Q&A. So on that note, over to you, Mikheil. Thank you.
Mikheil N. Lomtadze: Thank you, David. So let's move straight away into the updates. So for the second Q, we had a good strong performance in spite of the still continuing environment of high interest rates. Our payments continue to perform well, and this is a very sizable business, as you all know our TPV plus 21%; revenue 16% and net income plus 19%. So we're pleased with the performance. Marketplace continues strong growth, GMV plus 15%, revenue plus 25% and net income plus 13%. GMV, especially on e-commerce side, continuous strong growth, except the smartphones plus 31%. I will cover this later in the presentation. And then Fintech continues to generate strong volumes, plus 17%, 21% revenue and net income plus 8% in spite of the high interest rates this year. Consumers continue to be engaged strongly, probably one of the -- we believe, being the leading business in terms of transactions per consumer of 75 transactions per month and revenue plus 20% and net income plus 14%. e-Grocery, the business, which we started, if I recall correctly, around three years ago, continues to be our probably fastest-growing e-commerce business, plus 57% year-over-year in terms of the GMV. We already have over 1 million consumers, 1.1 million in the end of second Q and generating 3.4 million transactions. In transactions, we're up 63%. And in the GMV, we're up 57%. We continue expanding the grocery across the country and entering the new cities. So we are now in the five largest cities of Kazakhstan, which is Almaty where we started, Astana, and we also opened this year in Aktobe and Shymkent and we're also expanding in Karaganda. So we have five cities now and we are expanding further in Astana and Almaty. We're adding another dark stores or logistic centers from which we're actually delivering to our consumers, and we are planning to open another two basically in 2025. We have also introduced earlier this year a deposit on the fixed-term deposit at higher interest rate. So here, we're giving you a bit of overview of its performance. We're very pleased. This deposit has shown an extraordinary growth of 207% in terms of the amounts and 263% in terms of the number of customers, almost KZT 160,000. And it's performing pretty much as we planned. So as you can see, this is a product which is targeting consumers which are saving for something. And apart from -- so then basically, apart from the consumers, which are shifting from our current deposit into savings deposit because they have savings needs, we also around a third of the volumes is actually a new inflow, so a very successful product. And we truly believe that even though interest rates are high today, they will come down in the future, and we just continue acquiring consumers. And those are the consumers which eventually are transacting through our services because we are transactional business, and we allow sellers to sell, buyers to buy. So when there are consumers with the money in savings, eventually, they're spending those through our services. So really encouraging trends of the deposit products, which we have launched. We also have been giving an opportunity to others to leverage our payment network, Kaspi QR, which allows our merchant partners to accept the payments, not only from users of Kaspi KZ mobile application, but actually other of our colleagues on the market. So I have seen very good results. The volumes are up 128%. We have processed in the second Q 3.4 million transactions. At the moment, we have five banks working with us. And as you recall, we also have integrated with Alipay and through Alipay basically, we're allowing our consumers to transact on their locations in China or other locations where Alipay is functioning as well as our partner merchants, to acquire and to pay basically for the goods that they might acquire in China and then bring to Kazakhstan and sell through our marketplace. So very encouraged by those trends, and we'll continue to partner with other financial institutions going forward. But already, it's a pretty good decent result. We also are -- historically, as you know, we are building up on our payment infrastructure and the payment use cases. This is how we actually started our e-commerce business. This is how we have started our travel business. Just taking advantage of building additional value through specific vertical related innovations. And here is an example of our entry into the restaurant business. So we are scaling quite nicely. It's a very high growth still not sizable in terms of the size because we have just launched it, but quite good encouraging result. Net Promoter Score is very high from our customers and merchants. The functionality is pretty straightforward. You are -- as a restaurant, you basically are reducing the time for your waiters to spend on bringing the receipt and so on. So they are focused more really on the serving. As a result, restaurants get more sales. This is especially in the peak time. So this is the biggest benefit for the restaurants. From the consumers, quite straightforward functionality, you just scan the QR code, which you have on the table and you pay straight from our mobile application and one nice feature, which is also part of the service is you can actually tip the waiter. And the waiter is -- waiters are happy because everything goes seamlessly. And so we're delivering the value for everyone involved in this service in the restaurant itself, in the consumers and for the waiter. So it's everybody working faster, more efficiently, and we enable our core competency through the technology, which is accepting payments fast and providing a very reliable service. We also have been expanding the suite of our advertising tools for the merchants. This business is growing really fast, and we have launched a new service for our merchants which basically enables the merchants to provide the cash back sort of bonuses directly to consumers, a very simple service to operate. We have positive feedback from merchants. You can basically select the promotional terms, select the products you would like to promote. And then you just push the button and you can basically track the sales, uplift the views and other metrics related to advertising. So have been really well received. As you know, our strategy is always to be rolling out those services with the confidence that we deliver the value. So we're still in the process of scaling but already have a very good results and engagement from the merchants. So this service continues to fuel our advertising services growth. So as you can see, our ad revenue has increased to -- by 67% in the second Q. And this is one of the services, which we're extremely happy with the trends and engagements and have more to come. We also have been describing and explaining to you during the last call, that we have -- growth of the smartphones has been temporarily impacted by the requirement of really the registered smartphones, which is in a simple words, it's quite natural. The legislation has been introduced which require the consumers to register their smartphones. If this smartphone wouldn't be registered, then it basically becomes an operational brick. So from our perspective, this supply and the consumer demand disruption just happens temporarily really, but we still would like to indicate that actually the growth of all other verticals in our e-commerce continues to be very strong. And without the smartphones, the growth is at 31%, which is just an indication how underpenetrated e-commerce is and how much growth we have ahead of us. And things like Beauty and Personal Care and clothing are growing 63% and 54%, respectively, just telling you that there is still more growth and the innovations we can do around specific verticals, but the smartphones is temporarily -- temporary setback. But we also are not just sitting and observing. We, of course, are introducing the services for both merchants and the consumers just to give them peace of mind. And understand that actually the phone is registered, and we have developed a service for both merchants and consumers to overcome this obstacle. So actually merchants before shipping the smartphone through our e-commerce they should be actually -- they must check the smartphone, whether it's registered for bringing inside of the country on the one hand. And then on the other hand, merchants earn the badge, which on their product, which is means verified by the merchant, the smartphone. And on the other hand, customers themselves also can verify smartphones and make sure that the smartphone they have acquired is the smartphone, which is registered. So as a result, we are sort of tackling this from the both sides. We're giving tools to the merchants, we're giving tools to the customers. And yes, we just believe that the demand is there. And we just believe this is a temporary setback due to the regulation, which just requires a bit more communication and help from our side, and that's what we're doing. We have also -- are very excited to introduce the new service, which is domestic tools in Kazakhstan. Kazakhstan is a beautiful country, and there are so many destinations that you can visit and it can be over the weekend. It can be a quick trip into mountains. It can be a ski resort or you want to spend a week in a beautiful nature with your family. So we have introduced the domestic tours. And basically, as you recall, the travel, we have international vacation packages. So that's specifically targeted to promote beauty of the country, and we have developed the functionality, which has been well received. You can choose the region and the date. You can browse the list of offers. You can read the tour details and understand those better and then you can seamlessly pay in our mobile application and you get confirmation for your vacation. So really nice tour. Obviously, we've started from the low base but it's 10x growth in June, it's the season now. So we observed quite strong adoption. But again, this is the service which we will be purposely also promoting and building up. We are really honored and excited to promote the beauty of the country and Kazakhstan is truly beautiful. It has so many beautiful locations to visit. So we're very happy and excited about this new business we have launched. David, back to you about the platform performances.
David Ferguson: All right. Thank you, Mikheil. So just to run quickly through the performance, financial performance of the respective parts of the business, starting with payments. Demand volumes remained robust and consistent throughout the first half of the year. Volumes up 14% year-on-year in the second quarter, up 15% year-on-year for the first half. Faster TPV growth versus volumes is a function of higher ticket size. Inflation, up 21% year-on-year in the second quarter, up 22% year-on-year for the first half. So again, strong and consistent trends with, as usual, sort of 3 key products: Kaspi Pay, B2B and bill payments or contributing take rate move down, a function of mix effect, again, consistent with what you've seen now over the last couple of years. Basically, as QR grows in the mix, its take rate dilutive, but this is consistent with the long run trend. Payments revenue up 16% in the second quarter. So even with take rate dilution ahead of volume growth, volume growth was 14% in the second quarter. So that also reflects both strong volume growth but also good growth in liquidity revenue. And then again, as you've consistently seen with the payment business, strong top line drops through to the bottom line. So faster bottom line, high profitability and faster profitability growth, up 19% in the second quarter of the year and up 20% for the first half of the year. Moving on to marketplace. Again, marketplace demand overall remains very strong and consistent, up 35% year-on-year in the second quarter, up 36% year-on-year for the first half. GMV growth is lower than volume growth. Although we did hold Juma in the second quarter and it was successful overall in the second quarter. Number one, we ran fewer promotional campaigns. And number two, as Mikheil talked about, declining smartphone sales down 17% year-on-year in the second quarter. That impacts GMV. It doesn't really impact volumes to the same extent, but smartphones are a higher ticket item, so it's more apparent at the GMV level. Despite that, strong take rate improvement being driven, as usual, by advertising revenue, delivery revenue and revenue from classifieds, take rate moving up 70 basis points year-on-year in both the second quarter and in the second -- in the first half of the year that will feed through to faster revenue growth. If you break it down by the respective marketplace segments, decent e-commerce GMV growth, up 22% year-on-year in the second quarter, up 23% year-on-year in the first half. If you exclude the smartphone category, e-commerce growth in the second quarter would have been up 31% year-on-year. Take rate moving up 120 bps in the second quarter and 130 basis points improvement year-on-year for the first half. So pretty decent take rate expansion. m-Commerce, slower growth, also just like e-commerce, impacted by smartphones, but also m-Commerce is being impacted by the structural trend of offline merchants moving to online. The beauty of our business model as we capture both and m-Commerce, actually, that relationship with the off-line merchants is a source of competitive advantage relative to online-only merchants. So solid growth and solid take-rate trends, around 9% in both the second quarter and first half of the year. Travel continues to deliver good results. GMV growth of 16% in the second quarter, up 19% year-on-year in the first half of the year, helped still by international tours that we launched approximately 18 months to two years ago and international tours have also contribute drive that take rate expansion here also. So 50 bps of take rate expansion year-on-year in the second quarter and 60 bps in the first half of the year. We'd expect international tours to remain growth and take-rate additive in the second half of the year, and we'd expect domestic tours, Mikheil just talked about them, to increasingly kick in as well over the next 12 months. So a decent outlook for travel. With take-rate moving off, revenue growth is ahead of GMV growth, so revenue growth for marketplace was up 25% year-on-year in the second quarter versus the GMV growth I showed you above 15% and for the first half, up 29% versus GMV growth of 17%. So overall, pretty healthy revenue growth expansion for marketplace and also decent bottom line growth of 13% and 16% year-on-year in the second quarter and first half, respectively, albeit the ongoing trend as e-Grocery grows in the mix that is a lower-margin business, but overall, good result for Marketplace. And then on finally, in Kazakhstan, Fintech origination remains pretty healthy, up 17% year-on-year in both the second quarter and the first half of the year. As you've consistently seen over the last couple of years that origination growth is being driven first and foremost by our merchant and micro business finance products. They grow at a faster rate, continue to grow at a faster rate than our consumer lending products. The average loan portfolio saw strong growth, up 33% year-on-year in both periods. This is a lead indicator for future revenue growth and set stable pricing trends, flat year-on-year in both the second quarter and the first half. The deposit growth is also now starting to see decent growth of 18% year-on-year in the second quarter, 19% year-on-year in the first half. And what you see here is that we raised rates in April. We started to promote the new deposit products more widely and month- on-month trends in the deposit base have started to improve with June, seeing the strongest month-on-month growth year-to-date. June deposits being at the highest level year to date. So the trend is now moving in the direction that we wanted to see. So it's good for the future that, that is coming through the healthy deposit growth. Risk trends remain stable, flat year-on-year. Cost of risk, 0.6% in the second quarter of the year and NPL trends have moved slightly but not materially, and would expect them to remain at around these levels or somewhere between where they were at the end of last year and current levels for the remainder of the year. The lower coverage reflects the growth in the car loan product, which is a collateralized product and therefore, requires lower coverage. And again, that has been a trend over the last 12 months as the car loan product is scaled. So a decent Fintech origination and stable pricing trends. That has translated into healthy revenue growth of 21% year-on-year in the second quarter, up 19% year-on-year in the first half of the year. Higher interest rates have impacted bottom line growth as we indicated they would at the time of our first quarter results. You see that up 8% in the second quarter and for the first half of the year, but the deposits are delivering what they're expected to do. They will help us capture more transactions or fund more transactions in the future. And when and if rates move down, Fintech will be a dramatic beneficiary. Profitability will be a dramatic beneficiary of that. That wraps up the Kazakhstan side of the business, moving to Hepsiburada in Turkey. Just to remind people, Hepsiburada, published its financial results on Thursday of last week, so its detailed financials are available on the Hepsiburada Investor Relations website. But what is clear in the second quarter, a much better performance versus the first quarter of the year. Here, you see that volumes moved back into positive territory, up 7% year-on-year in the second quarter versus down 2% year-on-year for the first half. The combination of growing volumes and mid-single-digit ticket expansion translated into decent GMV growth, up 16% in the second quarter versus down 1% for the first half of the year. This GMV growth is in real terms, is inflation adjusted and overall is a reflection of recovery in the retail environment post March, number one. Company-specific initiatives, number two, particularly in the 1P side of the business, which grew faster than 3P during the quarter and also favorable base effect second quarter of last year -- or first quarter and second quarter of last year were impacted by the timing of the election in the first quarter of last year was strong to base. With good and improving revenue growth, up 23%, helped by growth in 1P and helped by delivery initiatives -- helped by the growth of the delivery platform. That translated into faster bottom line or faster EBITDA growth, up 42% in the second quarter, which is illustrative of the actual strong sort of operational gearing that exists in this business and can be seen as the revenue growth comes through and improves. Net income was negative, underlying sort of losses decline was small and declined materially year-on-year, TRY 243 million in the second quarter, an improvement versus a loss of TRY 434 million in the second quarter of last year, but also there were -- that's only around $6 million but there are also some one-offs related both to credit provisioning. This is related to Hepsi's existing credit products. So this should not be confused with our planned acquisition, the banking license in Turkey and the products suite we will launch in the future. That acquisition is still on track to complete in the second half. So it reflects existing product set. And also one- offs primarily related to Hepsiburada international. But overall, good underlying trends in all aspects of Hepsi business in the second quarter of the year. So for Kaspi KZ, the second quarter, exactly as we expected it to be. Trends in line with our full year guidance. And also actually with Hepsiburada moving as we expected it to be and its losses ultimately small in the context of Kaspi KZ, number one, and small in the context of the opportunity that exists in Turkey. Finally, guidance in Kazakhstan reiterated. The third quarter has started well, and we are on track exactly where we expect to be. And just to clarify on capital returns. As you know, we have always had and we continue to have an extremely cash-generative business in our core market. We told you that this year was about making investments in international, Turkey, to ensure strong future growth for many years to come. We've made good progress completing the final -- the acquisition of Hepsiburada. The final payment was made in June. We're on track to close the banking license acquisition in the second half of this year. So as we move into 2026, we expect to be able to once again have capital returns to our shareholders in much the same way as the case between 2020 and prior to the Hepsi acquisition. Capital returns can include both dividends and buybacks with a decision being made at the appropriate time. So that's it on Kazakhstan and Turkey. I think with that, we can open the call up to Q&A.
Operator: [Operator Instructions] Our first question comes from Wayne with Citigroup.
Unidentified Analyst: This is Wayne [indiscernible] on for Ygal, really. I just wanted to ask about what you're working on in terms of product improvements with Hepsi? Could you highlight to us which ones are the most important? And what we should expect as we progress through 2025 and 2026?
David Ferguson: Mikheil, do you want to provide a bit of color on some of the projects that are ongoing at Hepsi, please?
Mikheil N. Lomtadze: Sure. Well, I mean, in general, I would say that our strategy is to introduce quite a lot of products which we have in our core market. Initial focus or the priority is still to make sure that existing customers and merchants are extremely happy with the current services. Just to remind everyone, our business model is -- and our execution skills are really based on ability to innovate at unprecedented rates, if you look at the history of Kaspi and the things we have innovated around in a marketplace or Fintech or the payments area. But in order for that strategy to be successful, it's super important that your current customers and merchants are extremely happy. And I'm not saying just like happy like for any ordinary business, but really happy. And that is a foundation of the future success. And therefore, at the moment, the main focus is really to make sure that the existing services provided, specifically through e-commerce business or in the payments and Fintech to a certain extent, even though it's really small, those are brought to the level of Kaspi KZ's standards. And there are multiple projects, which teams are running and there is everything starting from the delivery to user experience and the Fintech products. So the year -- this year, as I mentioned on the previous call, is really the quality and just bring those services to the level, which is required by the desire to innovate all next services being a very high adoption. So the current performance is very encouraging. The results from some of the projects which have been already implemented or are in the process of being implemented and giving a very successful results. And you can see that in the growth acceleration in the second Q, but we really are focused on the quality rather than the quantity still this year. So our main priority again is core business, which is e-commerce, and all the services around the e-commerce. And then -- yes, and the rest, Fintech side of things is the major innovations are -- will be coming when we complete acquiring the banking license.
Unidentified Analyst: Got it. And then maybe a second one for me is, how do you think about your growth initiatives in Kazakhstan, the opportunities that remain there? And how should we think about the progression of the restaurant business or maybe any other verticals we should consider?
Mikheil N. Lomtadze: Well, the growth in Kazakhstan is -- the market is still underpenetrated. And you can see an example of the specific verticals, we really showed like clothing and fashion growing at very high rates. I think it's, what is it, around 60% or something, we've showed. So there is a growth, and what we are executing really the strategy, which is going after specific verticals. Again, this is something which will already have done before and also articulated e-grocery is a strategy around specific vertical. Buying e-grocery is different from buying electronics. And travel, it's a strategy around specific verticals. The same now we're doing pretty much in all major verticals and restaurants is one of those. It's a major vertical in the household spending. We've just launched a very simple sort of functionality, which brings immediate value. In our estimate -- in general, every sort of vertical we're entering, it has to be in the range of $1 billion size sort of market potential, like the same was with travel, the same was with grocery. So it really applies pretty much to all major verticals. If we take a vertical-specific strategy, that scale matters, frequency of transactions matters. And this is how we are picking those verticals to deliver the value. And again, we're working on the both sides always. Our business is to connect merchants and the buyers, sellers and the buyers, restaurants and their customers and our consumers from the mobile applications and our technology it enables just to connect them to deliver the value. And then on top of it, we can start bringing up some additional value-added services. In e-commerce, value-added services are around advertising, for example. And the same opportunities exist in restaurants. So we have just really started. We are rolling out at scale, this infrastructure of Scan & Pay and leave the tip. And then, of course, in the future, some other added value services will -- yes, will come together with the restaurants. I mean I wouldn't be really saying to you anything new, but the things which are related around -- in other businesses in the world exist around restaurants, right? Those are the reviews. Those are the marketing campaigns, the loyalty programs, the cash backs and so on and so forth. So there is a real range of the services which we believe we can develop. But our priority is always we start simple. We deliver immediate value. We get sort of the scale and then we start innovating by value-added services when both merchants and consumers are extremely happy with our base value proposition. And it's exactly the same strategy with the restaurants. It was exactly the same strategy with the marketplace, exactly the same strategy with the grocery, exactly the same strategy in Hepsiburada. We are really taking our time to make sure that our current offering delivers value, delivers the excitement to consumers and merchants, and then we build with -- our strategy then becomes, let's build on this and let's start this wave of innovations. And that's what we have done historically successfully. And this is the playbook which we employ always and every single time.
Operator: We now turn to Gabor Kemeny.
Gabor Kemeny: This is Gabor from Autonomous. I have a few questions on -- firstly, on the Fintech. So I believe your funding costs increased as you expected, that will be significantly in Q2. Maybe 13%, 14%, the blended average. Can you help us think about the outlook here? So how do you expect your funding costs to develop if rates stay where they are? My other question would be on the -- on asset quality. I noticed the uptick in the NPL ratio and that your quarterly provisions seem to imply a 2.5% provisioning rate. I believe you formally guided for 2%. Just some color on how you think about asset quality going forward? And finally, on your comment on a balanced capital deployment from next year between cash and -- or like distribution and the investments. Can you help us scale the investments in Turkey beyond the banking business, the $300 million you indicated? And in relation to that, I mean, given the stock's valuation, at what valuation levels would you say that you rather allocate a substantial part or most of your free cash generation to share buybacks?
David Ferguson: All right. Gabor, I can make a few comments on that. So cost of deposit funding increased 70 -- I think, 70 bps year-on-year in the second quarter. And the second quarter pretty much reflects the full impact, i.e., we raised rates not on the first of April, but very, very early in the quarter and the new products are out there. So adder between that and around sort of 100 bps level is probably a reasonable expectation in terms of how the cost of funding increases over the course of the year. So that's on your first question. On -- and that's actually consistent. We said that at the first quarter results. On the second question on cost of risk, what you should remember is in the first quarter, we did put through additional macro provisioning related to higher interest rates. So that's sort of separate from underlying risk. Underlying risk trends, so what we actually see are stable year-on-year. So let's see if that macro provisioning is needed. So that's on that. On the third question from my side, I would just say, I mean, the bank acquisition is happening. So that needs to complete in the second call on capital. That decision has been made and it's fundamentally important. And I mean it's actually a major competitive advantage to secure a banking license within such a short period of time. I think going into 2026, again, the point is that we're very, very fortunate that we have this massively cash-generative business in our home market, and nothing has changed in that regard. Now I said a decision around sort of mix between -- if there is a mix between dividends and buybacks, we make that at the appropriate time, and that's true. But I think it would be fair to say today, we were making decision today is an incredibly strong case for share buybacks. And I doubt we would see any push back from anyone on this call around that, but we'll make that call at the end of next year, next year beginning -- end of this year, beginning of next year.
Operator: We now turn to Darrin Peller with Wolfe Research.
Darrin David Peller: Just real quickly, I mean, the smartphone impact, I know you called out the actual quantitative impact in the quarter. But number one, I mean, do you feel like the progress you're making on certain partners is going to help stabilize that? And should we just expect that to be something that anniversaries in a couple of more quarters? Or is it a gradual impact that progresses in any way? And then when thinking about the marketplace segment, I know you talked about less promotions around Juma. Just curious what the dynamic were and the thought process was there. And putting it all together, I mean, sustainable growth, you have some puts and takes this quarter. So sustainable growth, I mean you have a lot of drivers that are being innovated right now that you talked about before, but help us understand your updated and latest thoughts on the recent growth trends, how you think about that segment over the next year or two, just given what's really in front of you going forward?
David Ferguson: Do you want to take that, Mikheil, on the smartphones and promotional.
Mikheil N. Lomtadze: Yes, sure. I mean, Darrin, in general, thank you for your question. In general, I would say, we did -- we are trying to sort of explain just showing the growth in other verticals, right? So as we have explained the growth in e-commerce without smartphones is 31%. So it's really healthy sort of growth rates. And for example, clothing and the beauty are growing around 60% year-over-year. So that's, I think, it's a good indication of the potential really of the marketplace business. And the smartphones, the projections for, what's going to the smartphones, I mean, we haven't been really in a similar situations before. So the only thing what we are doing is what can bring the results and what we can -- our self-control, right? And what we are developing is a service, which gives comfort and peace of mind to both merchants and the consumer. So demand for the smartphones, for example, is there. It will have to be satisfied at some point. I think we are doing the services, which will enable to sort of cross this obstacle or doubt that consumers and merchants currently have around these devices. And we just believe on our side that this demand will have to be satisfied eventually. So that's basically where we are in terms of the smartphones, and we are doing our part of the job. And yes, we're not overpromising anything. What we're saying is we look at the -- this is our job is to understand the merchants and consumers because this is where our expertise is, and they do see the obstacle in their purchase decision. And we have developed the service, which will enable them to overcome this hesitation to acquire smartphones. And hopefully, the market -- the trends will recover because again, there is a demand. So nothing happened really with the demand. This is sort of the obstacle which was created with the introduction of requirement to register the smartphones. But again, if you take the smartphones separately, you can see that the growth, even in electronics, excluding the smartphones, growth on our platform was 26%. Home and Garden and Furniture, 35%, clothing 54%. So those verticals are growing really at very healthy rates. And therefore, yes, we just -- on our hand, we just believe that demand is there, it will recover, and we just need to do our job. And our job is to enable transaction between sellers and our partner merchants and the customers, consumers and enable this transaction through the technology, which we know how to develop and the pools of data, which we know how to use to help both parties.
Darrin David Peller: So that -- and then just on -- I mean, I was touching on also your decision there and then just the sustainable growth rate there. Just real quickly, profitability on Fintech also and how we should think about that platform now with rates where they are, where they're likely -- and just given your success on deposit rates and deposits in general? I'll leave it there.
Mikheil N. Lomtadze: Well, yes, I think the basic sort of observation there is quite simple. If we're in a high interest rate environment, we have to take this as an opportunity to acquire more customers with the savings and build up these capacities because customers with the savings are the most valuable customers really for any of our products. And yes, we are in a high interest environment. I'm not macro person. So this is not my specialty to explain. But our job is when we see this environment, we take most of it and interest rates eventually will go down. And the way we sort of look at this in our business that there are high interest rates, which evaluate our interest expenses. But this is almost like the cushion on the expenses side. And eventually, it will go down. And as we're focused on a very healthy user base, as we're focused on a healthy risk metrics on the Fintech side, eventually profitability will follow because the top line is there and the risk is world class and interest rate eventually will go down. And therefore, this will flow to our bottom line.
Operator: We now turn to Reggie Smith with JPMorgan.
Reginald Lawrence Smith: I guess I just wanted to clarify the comments around the dividend and share repurchase potential. It sounds like you guys obviously have some capital commitments on the bank licensing side this year. But as we think about '26, can we assume a similar, I guess, return of capital ratio? I think it was like 60% in '24. Should we assume that going forward? I know you said -- you suggested that I guess you would resume a similar type cadence, but I'm just curious about the ratio, recognizing that there may be some investment in Turkey. So should we think about it being in the same range as '24 split across dividends and share repurchases or something less than that?
Mikheil N. Lomtadze: Thank you, Reggie for your question. I think that basically what -- from our perspective, we -- again, we mentioned always that we'll be prioritizing the investment for the further growth and that's a very exciting opportunity because we're building business for many years in front of us. And we have this internal ambition, as we mentioned that we would like to be a company of 100 million users. And that's what it is on our minds, and that's very important. So always, we have to keep that in mind. At the same time, what we're also saying is this year has been an extensive year for investments. I mean, the size of investments that we have done are quite substantial. And when we go into the next year, there will be a balance between our ability to distribute capital to our shareholders either through the dividends and the buybacks or -- and investments. Again, investments will be important but we're lucky to have a very profitable and cash-generative core business, and that's what allows us to think in those terms for the next year. I mean what is their specific payout ratio or anything like this, at this stage, it's quite early to have those specific discussions. So we'll make those decisions as we go forward.
David Ferguson: I just sort of -- just to add to that. Just one point. There will be investments and there always has been investments. You should keep that in mind. So e-Grocery has been a massive investment, the largest poster network in the country in Kazakhstan has been a massive investment. So again, the business has the potential to achieve a balance, make investments and return capital.
Reginald Lawrence Smith: Got it. Understood. And then just thinking about the banking license. Does this put you on par with competitors there? Or does it kind of extend a gap where you'll have capabilities that some of your competitors in Turkey won't have? And then finally, as I think about the investments, obviously, capital or the banking piece would be one. But like what do investments look like? Is it rewards to consumers? Is it -- maybe talk a little bit about the nature of what investment looks like in Turkey.
Mikheil N. Lomtadze: Well, I mean, in general, I would say that the license -- obtaining the license is a very important step for a very simple reason, that the license really gives you an operation that can offer products to consumers and the merchants both on the savings side or on the lending side. And that's basically what license really allows you to do. At the same time, I would say that if you think about the Kaspi and the way we really operate, we're focused on the quality of the services we provide and we are focused to the lesser extent on competition. And from our perspective, I think the products which -- and the services and the expertise we have on the Fintech side is world class and the products that we have, which can be introduced in Turkey is also world class. So from that perspective, once we get the license, I wouldn't -- again, I wouldn't expect like quick wins. You never saw from us that will be -- we always like to discuss the results and actual trends when we do something rather than just tell you about some ideas which we have been working for three or six months in the pipeline. So we always do something and then we tell you the initial encouraging results and how it's going to evolve. So step number one, get the banking license. Step #2, just put the framework to launch the innovative financial services for consumers and merchants. And then we just believe that we can make a difference in the consumers' and merchants' lives just because the services we have are technology and machine learning AI driven, and they're really improving everyday life of our customers and merchants and their needs. But that's basically -- so the big -- taking and building up the bank, of course, it also requires our diligence with the compliance, risk management and all other requirements, which we have a lot of experience in, but that obviously also requires from us to be very detail-oriented and execution driven. But once we get the license, again, we'll be introducing and launching the services which you already guys know on the Kaspi side for a long time.
Operator: We now turn to Cihan Saraoglu with HSBC.
Cihan Saraoglu: I have two quick questions. One is, in the past, we -- you used to distribute dividends or announced buybacks on a quarterly basis. So based on your comments about resumption of dividends in 2026. Shall we expect dividends to start in the first quarter of '26? Or is that just a broad guidance? That's one. Second question is about Fintech bottom line, which on a Q-on-Q basis seems to have grown despite the increase in funding costs. So you could explain what mitigated the increase in funding costs beyond volume growth there?
Mikheil N. Lomtadze: Okay. So thank you for your question. On the dividends or buybacks, basically returning the capital, I think, as we said, there is not much really to add. We can't really commit to you at this stage on quarterly or semiannually or whatever. So we're just saying that we have a very good, solid cash-generative business, and there is a -- the next year, we will have -- will be finding the balance between the investments and distributing capital to our shareholders. I mean everybody should also keep in mind that I'm a shareholder in the company, and I'm making decisions based on what is going to bring the most value to the company and its shareholders long term. So I'm investing alongside with other shareholders. In terms of the question about the Fintech business, I think we did mention this before, exactly what happened. The volumes increased. With the volume increase, revenue increased, with the revenue increase, profit increased. So the revenues just picked up in the second half -- in the second quarter of this year. And I think we did have a discussion in the first Q about it and volumes are nice and therefore, the profitability is following on the Fintech side. But profitability would be growing much faster if interest environment would be -- interest rates will be smaller. So therefore, we're focused on the top line and the bottom line will follow in the future. It has been our strategy always.
Operator: That's all the time we have for Q&A today. And I'll hand back to David Ferguson for any final remarks.
David Ferguson: Okay. So thanks, Elliot. We've got to wrap things up now. We have another meeting starting shortly. So thanks a lot for everyone's time today. Please feel free to get in touch if you have any questions, but thank you. Have a great summer, and we'll speak to you at our Q3 results. Thanks, everyone.
Mikheil N. Lomtadze: Thank you, everyone. Have a good week.
Operator: Thank you, everyone. This concludes today's webinar. You may now disconnect from the call.